Operator: Good morning everyone, and welcome to Cresud's Third Quarter 2015 Results Conference Call. Today's live webcast, both audio and slide show may be accessed through the Company's Investor Relations page, by clicking on the banner Conference Call. The following presentation and earnings release issued last week are also available for download on the Company's website. After managements' remarks there will be a question-and-answer session for analysts and investors. At that time, further instruction will be given. [Operator Instructions] You will also have the possibility of sending a question via webcast by clicking on the question to host tool. Before we begin, I would like to remind you that this call is being recorded and that information discussed today may include forward-looking statements regarding the Company's financial and operating performance. All projections are subject to risks and uncertainties. The actual results may differ materially. Please refer to the detailed note in the Company's earnings release regarding forward-looking statements. I will now turn the call over to Mr. Alejandro Elsztain, Second Vice President. Please go ahead sir.
Alejandro Elsztain: Good morning, everybody. We are beginning our third quarter 2015 conference call. We are beginning on Page 2, the main highlights for the period. We are in a season that is receiving very good climate condition in almost all the region. This year, we're going to see later, mainly in the fourth quarter how our yields that we are achieving in grains are very, very, very good in almost all the products we are harvesting. At the same time, we are seeing record corn and soybean harvest in the yeast, that affected last year prices, we are seeing that drop of prices in all of our main products. This is effecting mainly our balance sheet in the agricultural segment. The high productive yields that we are harvesting and in some cases, we are almost finishing, we are comparing year to year, we are sometimes doubling the yields like in the north of Argentina, inside the province. If we talk about the financial results for the nine months, we can see that revenues grew almost 30% comparing to last year, achieving almost 4,000 million pesos of revenues. The operating income went to 1,700 million pesos, an 87% growth comparing to last year, and, if we exclude the sale of investment properties, a 15% growth year to year. The net income, we have a loss of 452 million pesos, comparing to almost 530 million pesos last year. And, to the shareholders of Cresud, a loss of 487 million comparing to a loss of last year for 194 million pesos. So, but at the net income level, we are going to show you later, explaining the main difference, and affected mainly for financial results of the Company. The operational of the business, we planted this year 210,000 hectares. We developed almost 12,000 acres for total land in South America. There was only some sale in Paraguay that Brasilagro did, a sale of 24,000 hectares in Paraguay and for the last quarter, we didn't make any sale of land for this period. If we move to next page, to Page 3, we can see the evolution of planted area and breakdown on crops stating that soybean's 52% of the crops, 24% corn and the other 3% or 4% wheat, sugarcane, 4% of the total crops. And, if we go to Page 4, we can see the evolution of the development of the land and this is affecting the Company, because of the less development in Brazil, because the land bank of there is smaller and in Argentina and Paraguay, we decreased the pace of development. We are finishing with almost 12,000 hectares and up to the change of the environment, we are not expecting this to grow again as to the level of the 30,000 or 25,000 hectares [indiscernible]. In Argentina, for example today, with this environment costs too much to develop comparing with cost in the past. So, we are delaying the development for next year. So, this is affecting not only this year, but probably next year too. If we move to Page 5, we can talk about this that happened many quarters ago, the 24,000 hectares of sale. A very profitable sale that Brasilagro did in Paraguay, but in this period, in 2015, in the last quarter, we didn't make any new. We are expecting some in the last -- in the fourth quarter, but nothing up to now is close. So, let's move to Page 6, where Carlos Blousson is going to speak. Thank you, Carlos.
Carlos Blousson: Thank you, Alejandro. Good morning, everyone. If we move to Slide 6, the annual appreciation of farmland portfolio. As can be seen in the graph, there has been a solid appreciation in the region with a slight decrease in Argentina. This appreciation in Brazil in the last year was 6% to 8%. The appreciation in Bolivia was 6% and Paraguay, was 11% in developed land and 67% in undeveloped land. If we move to Page 7, the climate conditions in the region, as foreseen, the weather conditions were positive in the regions, with good rain in quantity and also well situated [ph] in the area. Temperatures were normal for the season, both rain and temperatures generated good production conditions. As we can see in the map, Argentina presents good weather to the south in general allowing good yields in productions. Weather condition in Brazil were normal in the last quarter, and remains stable through the productions. Rains in Bolivia returned to the normal levels during the summer crops and Paraguay also presents normal rains. To consolidate if I go through progress in the region, it's near to 56% in this passing month, finishing in the next two months. Let's go to Page 8, USDA estimations for the crop productions. Argentina soybean production for this campaign is expected to increase 9%, reaching about 59 million tonnes. This is a record in soybean production in Argentina. With regard to corn, the production is stagnant at 25 million tonnes of this campaign. A number, which has been similar for the past three years. This is a direct consequence of high production costs and the lower prices, making this crop unattractive to the producers. The soybean produced in Brazil continues its upward trend, and a 4% rise is expected reaching 99 million tonnes. Corn production decreased by 3% reaching 78 million tonnes, also due to the price factor which will mainly affect safrinha corn productions. Regarding 2015-2015 campaign in United States, the soybean planting area is expected to increase slightly compared to the corn, because of the better soybean price. Both productions, soybean and corn in the United States continue very good levels, reaching 105 million tonnes and 346 million tonnes respectively. This positive increase in productions will improve the relationship between supply and demand, thus continuing to affect commodity price. This commodity price, as we can also see in this slide, soybean and corn price, during the last quarter maintained the low levels. And decreased near to 5%. This low [ph] level are a consequence of the good production in South American [indiscernible]. Finally, the original hedge status of the campaign in 2014-2015 -- campaign is 59.6% in soybean and 19% in corn. If we move to the next page, the milk and cattle productions. Cattle productions, the beef cattle production in Argentina increased to 5,900 tonnes due to improved weather condition and good management decisions. The cattle stock is 71,000 heads and prices in pesos increased only 10% remaining below inflation rate. The milk productions reached 13.3 million liters, daily milked cows reached 2,200 heads and milk production per cows per day increased to 21.9 liters. The milk price increased 14% below inflation rate. Thank you. Matias will continue with the presentations.
Matias Gaivironsky: Thank you, very much, Carlos. Good morning, everyone. So, moving to the next page, here we have the investment in IRSA. Remember that we have a stake of around 65% in IRSA and we consolidate all the results in our financial statement. So, the different segments of IRSA generates very good results. We are very happy with the performance of our rental segment, shopping centers and offices grew 29%, in shopping centers and 26%, offices in revenues term and the EBITDA 28% and 31%. Sales and development also generated very good results during the nine month period, generating an EBITDA of 368% more than the previous year. This is mainly because of the sale of certain office spaces at the IRSA level, and then in the international, we sold in the last nine month period, a building in Manhattan, Madison 183 [ph] that generated very good results for the Company. So, EBITDA margin of shoppings and offices remain stable at very good levels. Shopping centers are 78%, offices, 71.7% and in terms of the breakdown of the different segment in our EBITDA, shopping centers' still at segment number one, followed by offices. Going to the next page, here we have the breakdown of our income statement. I'm trying to explain the main difference against the previous period of nine months of 2014. So, we started the year, with a net income, with a loss of 527 million pesos and then when you see the evolution of the different segment, I will say that probably the common denominator in the different segment is the prices. We have lowered prices than compared with the previous year. So, that affected mainly the sugarcane and grains segment. So, this segment was driven -- the reduction was driven by lower prices, somehow compensated with better yields, but at the same time, better -- lower expectation of the evaluation that affected the evaluation of the biological assets. So, we estimated at the beginning of the year a higher evaluation and finally the evaluation in this nine month period was only 8%. Remember that the last year, we had an evaluation of around 49%. So, that derives a big difference between this year and the previous year. In the beef cattle segment, we have better production yields, and better prices that drive an important increase in revenues, we increased revenues by 67.6% but then we have lower holding results the last year and due to the evaluation, we recognized these important gains compared with this year are lower so that generates this slight decrease by 2.5 million pesos in this segment. In the milk segment, we have better prices, a little lower production because of lower stock of milking cows. So, that generated lower production but better prices, so that generates this increase by 4.5 million pesos. Land transformation, is 18.2 million pesos more than the previous year, here it's basically that we sold [indiscernible] a portion of land in Paraguay in the beginning of the year in Brazil compared with the previous year that we haven't sold anything. So, that is the reason of this difference. Remember that they sold off the land in the previous year, whilst in the last quarter -- in the nine months period we haven't sold anything, in the previous year. Other segments, 29.1 million pesos lower than the previous year. This is mainly because of the result of our meat packing facility plant that generated lower results and also with lower results from our subsidiary FyO, basically when you compare results of FyO from this year to the previous year, we sold less product and less -- we generate lower brokerage fees than the previous year and that is the main reason of the decrease. The real estate segment, IRSA generated 38 million pesos more than the previous year. Here there is a different combination of different segments that I just explained in the slide before. Then 20 million pesos lower in the participation in joint ventures. This is mainly Banco Hipotecario that affected our stake in Banco Hipotecario that generated lower results from the previous year to this year. The main explanation was that financial results in Banco Hipotecario, so those are the main difference on the operational side. When you go to the big difference in this year, is the net financial results that generate 812 million pesos more than the previous year, remember that year, we had started with a loss in the previous year of almost 2 billion pesos, 1.927 billion of loss in the previous year, mainly because of the evaluation of 49% of the peso against a loss of 1.1 billion pesos this year mainly driven by the evaluation of 8% of the peso plus our interest expenses. So that is the main composition of this line. Finally, taxes that we have lowered or we have to pay more taxes this year compared with the previous year by 590 million pesos and this is mainly because of the sale of Madison building in Manhattan made by our subsidiary IRSA. So, with those explanation, we finished nine month period with a loss of 452 million pesos compared with 527 million pesos of the previous year attributable to our Cresud holders is 447 million pesos and the non-controlling interest is 34.6 million pesos. Going to the Page 12. Here we have the, breakdown of our debt. Today, net debt of the Company totals $842.2 million. We have a net debt to asset ratio of 51.5%. Remember please that this ratio is calculated with book value and most of our properties has a very low value according to their accounting method, we are valuing all the assets as acquisition costs plus the CapEx that we did in the past. So, that value is totally different than the deferred value of the properties. So, the 51.5%, I would say, that does not represent the real loan to value of the Company. So, news in the last quarter, we issued new debt at the Cresud level in order to retract some short term debt. We did very successful -- we issued two tranches, one in dollar terms that we paid very low interest rate. We paid a yield of 0.5% in dollar terms for a two year note and also we issued that of pesos, one year fixed at the rate of 27.5% and the rest Badlar plus 350. We issued 187 million pesos. So, with that we're going to retract most of the short term debt of the Company. We have debt amortization that mature in the next week that we have the cash to repay the debt and we will cancel. So, we are very confident with this debt structure. Something also that I would like to comment on in this quarter, we launched the new website of the Company. So, you have new tools and new features that we include, trying to simplify the structure and information -- more friendly, so visit the website, you will find all the information of the Company there and also we launched the new communication platform with Twitter. So, follow us on Twitter. So now, we open for questions.
Operator: Thank you. [Operator Instructions] And your first question comes from the line of Federico Rey, Raymond James.
Federico Rey: Yes. Hello, good morning everybody and thank you for the call. I have a question regarding the crop segment. I would like to understand, is the decline that we see in the valuation of biological assets is basically as a result of the lower than expected evaluation or if we can see other type of factors? Thank you.
Alejandro Elsztain: Thank you, Federico. The main explanation is that we, at the beginning of the year, expected a higher devaluation, and finally we adjusted our estimations. For that reason, we reduced the biological asset estimation, regarding yields, we remain very confident on the expectation.
Operator: And our next question comes from Rodrigo Mugaburu, Morgan Stanley.
Rodrigo Mugaburu: Hi. Thank you. I'm Rodrigo Mugaburu from Morgan Stanley. My question is, in your view -- where do you think we are on the cattle cycle in Argentina? Are you trying to see some female retention probably expecting some improvement on the business next year onwards? What are you doing on that respect? Thanks.
Alejandro Elsztain: There's better environment at the cattle farms, not at the packing plants but the cattle farmers are having better margins comparing to every quarter and so they are, now there is a recovery probably on the stock, but for that, we'll need the recovery for the industry to -- the recovery for the industry is not clear up to now. You need to open clearly the market and to have more competitive dollar for the exports, and that has to happen. So, a lot of packing plant, that will reopen, mainly they export [indiscernible] but today they're suffering a lot and making big losses like we show you in our numbers. So, at a farmer level, I'm very optimistic and a lot of retention and a lot of demand for cows and cattle coming to the market, but from the other side, we need to reorganize the exports and domestic market better for the future. That needs to be done and that is not clear up to now.
Rodrigo Mugaburu: Thank you, Alejandro.
Operator: This does conclude the question and answer session. At this time, I would like to turn the floor back over to Mr. Alejandro Elsztain for any closing remarks.
Alejandro Elsztain: Thank you very much to everybody. Have a very good day and we are going to finish next quarter with the annual results. Bye.
Operator: Thank you. This does conclude today's presentation. You may disconnect your line at this time and have a nice day.